Operator: Good day, ladies and gentlemen, and welcome to the General Electric Fourth Quarter 2010 Earnings Conference Call. [Operator Instructions] My name is Michael, and I will be your conference coordinator today. [Operator Instructions] I would now like to turn the program over to your host for today's conference, Trevor Schauenberg, Vice President of Investor Communications. Please proceed.
Trevor Schauenberg: Thank you, Michael. Good morning, and welcome everyone. We are pleased to host today's fourth quarter and total year 2010 earnings webcast. Regarding the materials for this webcast, we issued a press release earlier this morning, and the presentation slides are available via the webcast. The slides are available for download and printing on our website at www.ge.com/investor. As always, we'll have time for Q&A at the end. Elements of this presentation are forward-looking, and our based on our best view of the world and our businesses as we see them today. Those elements can change as the world changes, so please interpret them in that light. For today's webcast, we have our Chairman and CEO, Jeff Immelt; and our Vice Chairman and CFO, Keith Sherin. Now I'd like to turn it over to our Chairman and CEO, Jeff Immelt.
Jeffrey Immelt: Great, Trevor. Thanks. Good morning, everyone. I want to give you, on the first page, an overview of a really good quarter for the company and confirm strong outlook as we think about 2011. The environment continues to improve, really, it's broader and deeper as we look across the portfolio. A good strength in orders. Losses are down. Credit demand is up. Across the rail and aircraft market very strong. As I've said in the past, we just think the economy can get a little bit stronger everyday. We had good top line performance, the best in a while, 6% industrial organic growth. And then, infrastructure orders 12%, equipment up 20%, services up 5%. We end the year with a very strong backlog. Earnings growth continues to improve. Continuing EPS, up 33%. Capital had another strong quarter and in total Industrial segment profit, including NBC, was up 8%. We did do a lot of restructuring in the quarter. We had $0.10 industrial tax benefits offset by $0.10 restructuring and other charges, including the Hudson remediation. And so, I think, what we've been able to do is significantly risk reduce 2011. Our execution was strong. CFOA in the high end. We end with a lot of cash in the balance sheet. Operating profit rates at 17.5%. The capital portfolio transformation is advancing. We had a very good value gap in 2010. We built our operating plans and '11 expecting a lower value gap. And we're executing, I think, a balanced and disciplined in capital allocation plan. We've bought back $1.8 billion of stock. We've had two dividend increases. The first quarter '11 dividend will be 40% higher than the first quarter of '10. And we're executing on valuable infrastructure acquisitions. So again, I think a good overview for the company. On the next page, orders grew at 12%. This is the highest order intake since 2007. We end 2010 with a record backlog and it's very broad based. I think if you look across the Energy segment, Oil & Gas was very strong. Service is growing. We still expect energy equipment to turn positive in 2011 but a lot of good signs. Aviation, again, very strong. Healthcare growth continues. And transportation recovery, there's fewer locomotives part. We had 240 North American locos. So again we feel very good about the backlog and how we're positioned going forward just given the overall strength of our order base. On the next page, on execution, our segment operating profit rate was up 10 basis points. Again, as I said, a positive value gap. Healthcare, volume leverage. Aviation was impacted by some onetime costs in the fourth quarter, and we think that improves going into 2011. And then R&D was a full point of impact. And we grew our operating profit rate, despite the fact we've increased R&D investment by 21%. And so we entered 2011 with a full backlog of products. Really, the R&D spend is in our run rate. And we just see a 50 new NPIs in Healthcare. Significant global investment in country for country. So we really have a great foundation for organic growth, and we're able to deliver on operations, while investing for future growth. On the next page, on cash. Our cash flow ended up at the high end of our range at $14.7 billion. We improved our working capital turns to by one full turn. And if you look at the right-hand side of the page, our consolidated cash is $79 billion. Cash at the parent, is a record in my history at $19 billion. And you can just see the way we executed this year on CFOA, dispositions. And so, we really entered 2011 with a lot of financial flexibility and just a lot of cash, available cash, at the parent. So we feel good about that. Lastly, before I turn it over to Keith, really, a lot has happened vis-à-vis NBCU since the December meeting. I think when we were together in December, we thought we would close NBCU transaction. That slip into January. We should close the transaction next Friday. As we said, this is a high pretax gain, a small after-tax gain. we'll have about $3 billion tax charge that will impact the GE tax rate in 2011. So we were booking at that higher rate through the third quarter. Keith will go through this in a little bit more detail. We will reverse that in the fourth quarter. And we'll have a higher tax rate in the first quarter of '11 and for the total year. We still expect about a $0.05 EPS impact from the NBCU going from 80% to 49% in 2011. And we'll use the gain to fund additional restructuring in 2011. There's no change to the overall outlook of how we think about 2011 or 2010 from this because any gain will be used against restructuring. But it does change the tax rate.
Keith Sherin: Tax rate as you said, we're going to have a pretax gain plus a high tax charge it doesn't change the EPS.
Jeffrey Immelt: Exactly. And then from a parent cash standpoint, we ended the year at $19 billion. Once we close next Friday, we'll have about $22 billion of cash. And we plan to continue to execute a balanced and disciplined capital allocation program. You've seen what we've done with the dividends. We've relaunched the buyback and then we've announced four transactions that are really right over the plate for us in our sweet spot in Energy and Healthcare. Really, the right size deals are going to help us grow. So this is really, I think, a good news page for investors. So with that, let me turn over to Keith to go through the fourth quarter financials.
Keith Sherin: Okay, Jeff. Thanks a lot. I'm going to start with the fourth quarter summary. We had continuing operations revenues of $41.4 billion, which were up 1%. Industrial sales, $28.7 billion, grew 1% and financial services revenue at $12.8 billion was down 2%. We earned $3.9 billion in net income. That's up 31%. And for earnings per share, we earned $0.36, including the cost of the preferred dividends. So earnings per share were up 33%. As Jeff covered, the total cash flow from operating activities was $14.7 billion for the year at the high end of our original range. And let me spend a minute on taxes. I think it was one of the more complicated quarters for taxes. We had several large moving parts affecting the fourth quarter. The largest was whether NBC would close. Obviously, that didn't, and that had an impact. We also had a potential IRS settlement as they were completing the audit of the 2003 to 2005 tax year. And we didn't know exactly what the amount of the settlement would be and whether it would have been completed entirely in the fourth quarter. And then finally, we had to estimate how much restructuring were going to have in the fourth quarter, while we were in open negotiations with the EPA over the Hudson. So here are details on how those items came out. As we said in the third quarter call, in earnings, we expected a lower-than-usual tax rate for the fourth quarter due to potential favorable tax settlements with the IRS. Those settlements were finalized in the quarter, which basically with the tax settlements that led to a very low consolidated rate with the other items of negative 17% in the quarter. Absent NBC closing, we expected a GE rate below our third quarter year-to-date rate of 26%, mostly from the settlements. And we ended with a total year rate of 17%. So I try to do a little walk on the box here, just to take you from the 26% third quarter year-to-date rate down to what we actually realized. About four points of the decrease is due to favorable audit resolutions. We also had anticipated NBC closing. And since it didn't close, we had a lower rate in the fourth quarter by about three points. And finally, the rates are about two points because of the charges, including Hudson that we took in the fourth quarter, which are a very high tax rates, and other fourth quarter charges. So on I'm going to cover more in taxes on the next page, but that's the breakout of how we got from a 26% third quarter year-to-date rate down to 17%. For GE Capital, the GECS rate for the fourth quarter goes from a large positive in 2009 to a negative in 2010. That's actually good news. We had $1.8 billion in higher pretax income at GE Capital year-over-year. Obviously, that resulted in a lower tax benefit. And for the year, the GECS tax benefits compared to a normal 35% rate came in at about $1.7 billion, in line with the tax benefits we outlined that we expected for the year. For 2011, for GE, we expect the rate somewhere in the mid-20s, again, excluding the NBCU gain and the tax on that gain, I'll cover that. For GE Capital, we expect tax benefit similar to 2010. The total year credit was a somewhere around $1.7 billion. And then that would be adjusted for whatever the impact of higher pretax income is at the 35% rate. So pretty similar profile in GE Capital in terms of benefits globally in 2011 versus '10. And on the right side, you can see the segment results. Industrial businesses x media had $4.2 billion of segment profit up 4%. That was led by Tech Infra, H&BS. NBC Universal had a very strong quarter. And GE Capital continues to rebound, a net income of $1,056,000,000. That's up over 10x from the fourth quarter of last year, strong performance. Overall segment profit up 28% and with corporate and taxes about flat. Year-over-year the total earnings were up 31%. So it's great to have the top line growth resume. It's great to have the operating segment profit improving. And the tax benefits that we've realized in the fourth quarter funded restructuring and other charges. And the next page takes you through that in more detail. Basically, we had taxes and restructuring and other charges in the quarter. And if you look at it, during our third quarter earnings webcast in the December meeting, we tried to outlined this. We said that we expected with all the open items we had, that overall, any charges in the fourth quarter would exceed any positive items. But the biggest change we had in the fourth quarter was an NBC deal that didn't close. And that resulted in higher tax benefits than we're planning on. And so the charges in the fourth quarter ended up equaling the gains. And let me go through the details. First, is taxes. Overall, we had $0.10 of after-tax favorability from the tax settlements in the NBCU deal delay. We settled 2003 to 2005 year with the IRS resulting in about $0.05 of benefits of at corporate. And the second item for NBC, as you know, under the accounting for taxes APB 28, we have to book our tax rate all year to a full year expectation. And we expected NBC to close at the high tax rate in December. When NBC didn't close, we had to reverse adjustments for the first three quarters. In total that was also about $0.05 of tax benefits in the fourth quarter. The offset the tax benefits was mostly in corporate. We had a $0.06 of after tax environmental reserves. We added to our existing reserves for the Phase 2 on Hudson dredging. That was an incremental $0.05. And we had a $0.01 increase for other Brownfield site remediations across the company. We also booked $0.03 in corporate for industrial cost and footprint reductions. We had about $0.01 in appliance and lighting for ongoing manufacturing rationalization. We continue to see the benefits of the cost of those businesses. We also had about $0.01 in each in Healthcare and Energy for other cost reductions. And we had $0.01 in capital corporate mostly for equipment service downsizing. So the tax benefits in of fourth quarter of $0.10 were offset by additional restructuring and other charges and the majority of that was also in corporate, with $0.01 over in capital corporate. Now down the bottom, we also had three items going to discontinued operations in the fourth quarter. We sold our Central American Bank to Grupo Aval from Colombia resulting in a $0.08 after tax gain in disc ops. And we announced the sale of our RV/Marine and our Mexican Mortgage business to Santander in the fourth quarter. That resulted in a $0.02 loss in disc ops and those transactions also result in $13 billion of ending net investment reduction. So nice exit for GE Capital team, some nonstrategic parts of the portfolio. Overall, a good quarter when you look at the continued restructuring and the long-term risk reduction. So let me shift now, and I'll start with the businesses. I'm going to start with GE Capital. Mike Neal and the team continue to demonstrate that capital is getting stronger and stronger. Revenue of $11.9 billion was down 4%. That's driven by lower assets and dispositions year-over-year. Pretax earnings is $959 million, that was up $1.8 billion over the last year's fourth quarter. And the net income of over $1 billion was up over $950 million versus last year. That's driven by lower credit costs. We see that was across the portfolio. Higher margins and that's partially offset by the lower assets and higher impairments that we had in the quarter. We ended the year with $477 billion of ending net investment. That's down 9% from January 1. If you remember we added a bunch of assets as part of the consolidation from FAS 167, and the details of that are in the supplemental schedules that we published this morning. We're ahead of our ending plan to get the $440 billion by 2012. The teams have done a great job executing that. And another highlight would be new volume in the quarter. Commercial volume was up over 50% over the last year to $17 billion, mostly driven by our CLL business at good, strong margins. You can see the details here. And overall, we did $49 billion of volume with Consumer up 3%. I'm going to cover the asset quality metrics in a few pages so here's some of the comments by business. First is Consumer. Consumer business finished the year with continued strong performance. They delivered $574 million in net. It's up $350 million over last year's fourth quarter, a 156% up. And the earnings growth came from lower credit losses and higher margins, partially offset by lower tax benefits. If you look at the main driver was the U.S. Retail business. We earned $362 million. That's up over 700% from last year driven by the portfolio quality improvements, which led to both lower credit costs and better margins. Our Global Banking business had a good quarter. They earned $283 million. That's up 85% driven by lower credit costs again. And even in U.K., the U.K. Home Lending business continued to be positive. It earned $62 million in the quarter. And our owned real estate portfolio is the lowest since the first quarter of '08. We're down 733 properties and we continue to do better than our marks on properties when we sell them. Our realization was 115% in the fourth quarter. Commercial Real Estate, the next business, continues to be challenging as we expected. The business lost $409 million of net income. That's $183 million better though than last year. And the income improvement was driven by lower credit losses on our debt book. That includes $99 million of recoveries we had on previously reserved accounts. Excluding those recoveries during the fourth quarter we had about $16 million of after-tax credit losses. And that's down about $119 million from the third quarter. So we saw improvement in the debt book. While the credit cost on our debt book were better, the marks and impairments in our equity book were $473 million after tax in the quarter. And that was up about $158 million from third quarter, principally driven by some lower valuations we saw in Japan on some of the owner properties. While the total losses in the business are still too high, we have seen some improvements here. Delinquencies and non-earnings and credit losses were down from third quarter. We reduced our assets by $13.6 billion or 16% since January 1. And the unrealized loss on our equity books from about $7 billion a year ago to about $5 billion in the fourth quarter. Next is Commercial Lending and Leasing. The team also had a strong quarter with earnings of $567 million. They're up $216 million or 60% versus last year. The results were driven by lower losses. Earnings growth was very broad based. The America's were up 39%, Europe and the Middle East and Africa was up 60%, and Asia was up 22%. GECAS had a good quarter, earnings were $432 million. They were up 50% over last year driven principally by lower taxes. That was partially offset by about $20 million of higher impairments for some 737 and 83-18 classics. The portfolio remains in great shape. We ended the quarter or ended the year with one aircraft on the ground, and that's in the process of being released. And finally Energy and Financial Services is also at a positive quarter with earnings of $33 million, up 8%. So overall a lot of strong execution by business. And now I'm going to cover asset quality. On portfolio quality, as you can see in these charts, our measurements continue to improve. And in the interest of time I'm just going to summarize a couple of points. For both CLL and Consumer, our delinquencies and our non-earning balances continue to get better. And the one thing I want to point out on the page, on the left side, we've expanded our commercial delinquency reporting. We used to report delinquency for a subset of CLL, we called it equipment. And for simplicity and clarity, we're now reporting the delinquency for all of CLL. And the trends are the same on the old basis or this basis. So there's no difference in the lines really and where we're going, but it's a more complete reporting. So on the left side, our commercial delinquencies, you can see the percents of delinquency are down. The actual dollars were down over $400 million from Q3 and our non-earning dollars were down $100 million from Q3. The one piece of news here on the left is, on the bottom left, our Real Estate delinquencies declined by 133 basis points in the fourth quarter. That's the first decline in Real Estate in delinquencies in nine quarters. On the right side you can see the improvements in our customer metrics. Consumer delinquencies were down $385 million from the third quarter and non-earnings were down $185 million from the third quarter. So overall, strong improvements in the asset quality continue. Next is a little bit on the reserves. That asset quality improvement that we're seeing is impacting our reserve balance. The reserve balance declined by $800 million. You can see from Q3 to Q4. We put the reasons for the decline in the box at the top center of this page. The majority of the decline comes from write-offs exceeding our new loss provisions. So we wrote off $2.2 billion of receivables, and we added $1.6 billion of new provisions for losses, for a net reduction of $600 million. We also had $200 million of transaction recoveries against previously reserved accounts and reserved releases. So you can see that's split between Consumer and Commercial Real Estate. So in answer to the question, how much of GE Capital income comes from reserve releases? It's about $200 million pretax in the fourth quarter. As you can see in the chart, we had about $500 million of the reserve reductions were in Commercial and about $300 million in Consumer. And overall, coverage was down slightly driven by the improvements we have in delinquencies and non-earnings. So next I'll shift in to the Industrial businesses. I'll start with NBC Universal. Jeff Zucker and the team had a great fourth quarter. Revenues of $4.8 billion were up 12%. Segment profit of $830 million is up 38%. Even if you adjust for the impact of the increased GE ownership in our agreement with the vendee, we purchased an additional 8% at the end of September. Excluding that impact, profit was still up 30%. And the results were broad based. Cable continues to deliver terrific performance. The revenues of $1.5 billion were up 15% and segment profit of $740 million was up 16%, driven by great strength in the entertainment properties. Our Broadcast revenue of $1.8 billion, that was up 11%. And the segment profit was also positive driven by a strong performance in local media. Great performance in the NFL and news, partially offset by continued investments that the team is making in primetime programming. And Film and Parks had another strong quarter with revenues up 9%, up over 80%. The DVD units were 15%, driven by the success of Despicable Me. And the Parks continued their strong performance driven by both Potter and King Kong. As you know, we received regulatory approval this week. And the deal is scheduled to close next Friday. And as we go forward, when we start in the first quarter, we're going to be then reporting our 49% stake in the new company on a one line equity contribution basis. So next is Energy Infrastructure. John Krenicki and the Energy team delivered revenues of $10.9 billion. They were down 3%. Segment profit at $2.2 billion, down 2% in line with our expectations. You can see the business results on the bottom left and I'll start with more details on energy. Energy had orders of $9.8 billion. They were up 1%. Equipment orders of $4.7 billion were down 8%. If you go to the big pieces, thermal orders of $1 billion were down about 41% driven by some tough comparisons. We had orders for 29 gas turbines in the fourth quarter of '10 versus 40 in the fourth quarter of '09. On the wind side, we had orders of $1.3 billion. They were down 17%. We had orders for 477 units versus 729 units last year in the fourth quarter. On the positive side, orders for digital energy and industrial controls at $1 billion. They were up 10%. In aero orders of $900 million were more than double last year. Service orders of $5.1 billion were up 10% driven by the strong growth and power gen services is up 17%. Our overall equipment backlog at $11.6 billion is up 6% versus the third quarter, and the services backlog at $7.4 billion was up 3% versus third quarter. So a pretty good orders quarter. We're seeing a change in the pace of decline and that's positive. And you can see that on a rolling orders basis, if you look at orders price for the quarter, it's down 3% across energy driven by Power & Water which was down about 6% and services was flat. In the quarter, revenue is $8.8 billion down 5% driven by the lower volume. We shipped 18 gas turbines versus 34 last year in the fourth quarter, and we also had fewer steam turbines and generators. We also had $400 million lower balance of plant revenue, which as you know doesn't come with a lot of margin. It's mostly a pass-through, so that was down. And service revenues of $4.2 billion were up 4% driven by the outage and upgrade activity that we saw in the quarter. Segment profit of $1.8 billion, down 3% as the positive pricing and deflation was more than offset by the lower volume and higher investments in new products. For Oil & Gas, Claudi Santiago and the team ended the year with strong orders. Orders of $2.9 billion were up 15%, a quarterly record for the business. Equipment orders of $1.7 billion were up 23%. That was driven by strong natural gas production orders in Saudi Arabia and Qatar. Service orders of $1.2 billion were up 4% driven by spares growth. And the orders by Syndex [ph] was down 1% in the quarter. Revenues of $2.4 billion were up 5%. Equipment revenues of $1.4 billion were strong. They were up 10% driven by growth in natural gas LNG and drilling and production, pretty broad based. And service revenues of $1 billion were down 2%, a 5% x FX. So a little impact to the stronger dollar. Segment profit of $435 million was up 3%. That's driven by the higher volumes, which was partially offset by the stronger dollar, some investments in new products and service support. As we opened two new service centers in Algeria and Qatar. So for the year, the team delivered $7.3 billion of segment profit, up 2% segment. The segment margin is 19.4%, up 1.9 points. Next is Tech Infrastructure. John Rice and his team delivered strong results in the fourth quarter. And we entered 2011 with some pretty good momentum. Revenues of $10.9 billion were up 9%, and segment profit of $1.9 billion was up 11%. If you start with Aviation, the aviation marketplace continues to improve. In 2010, revenue pass-through miles were up 9%, freight was up 22%, parked aircraft declined by 5% to about 2,300 units at the end of the year. And the team had very good orders. Orders of $5.8 billion were up 32%. The growth was pretty broad based. Commercial engine orders of $2 billion were up 117% driven by CFM and small commercial. The military orders of $300 million were 2x over the last year's fourth quarter. The equipment orders price index was up 6.5% and we ended the quarter with our major equipment backlog at $20 billion up 1% versus fourth quarter '09. Service orders were down 4%. Commercial spare parts orders were $25 million per day, which was reported up 2%. But again, if you adjust for the 2009 AVL order, it would have been up about 28% similar to the Q3 growth. Revenues of $4.8 billion in the quarter were up 1% driven by the higher commercial engine revenues of 8%, partially offset by lower service revenues down 4%. And segment profit in the quarter $821 million was down 14%. It's slightly better than the third quarter year-to-date run rate and results in the quarter were driven by the pressure from GEnx units. We shipped about 26 GEnx units in the quarter. And accruals for costs overruns from some customer-driven engineering changes on a few systems contracts for the new products we're introducing. Those cost were partially offset by positive value gap with positive pricing and deflation. And if you excluded across overruns, the results would have been approximately flat for Aviation. Healthcare had another great quarter. Orders of $5.2 billion were up 2%. Equipment orders were up 1%, up 3% x the impact of FX. If you go by region, the Americas were up 3%; EMEA, Europe, Middle East and Africa was down 5%, up 1% if you adjust for FX; Asia-Pacific was up 3%; China was up 18%, India was up 14%. Service orders were up 2% and overall orders, basically tougher comparisons as the fourth quarter '09 orders were up 11%. We ended the year, equipment backlog of $3.9 billion, up 6% versus a fourth quarter '09. So we come into the year with a strong backlog. The team really converted well. The revenue of $5.1 billion was up 8%. We saw a very broad-based growth. MR are was up 25%, ultrasound was up 17%, CT was up 5%, Life Sciences was up 2%, MDx was down 4%. And it's also nice to see growth in HCS business in the U.S. which was up 18%. Segment profit of $1 billion was up 10% and that was driven by the strong equipment volume growth. Transportation continues to see improvements in the market. As Jeff said, they've got a very good outlook. The real volume in the quarter for the industry was up 11%. Parked locomotives continue to decline. We had $1.4 billion of orders, up 55%. Equipment orders were up 65%, and service orders were up 41% driven by both North American locomotives and mining equipment. We ended the year with backlog $3.7 billion or 50% over last year, so a strong year in orders. Revenues of $1 billion were up 66% driven by the equipment. We shipped 116 locomotives in the quarter versus 92 last year. We also shipped 186 locomotive kits internationally versus 78 last year. And service revenues of $515 million were up 106%. Segment profit of $73 million was positive versus a loss in the fourth quarter '09 driven by the higher volumes and also easier comparisons in the service operations. So as we enter 2011, we continue to see strength in Healthcare. The transportation environment was tough in '10 but it's clearly improving. And Aviation is in line with expectations and we have expectations for about flat performance and profit for '11. So I think in 2011, we'll be reporting these three businesses separately now, with a direct connect to Jeff. There's no recast involved, it'll just be completed reported separately as they exist today. So there's no recast. As John Rice is now leading our global growth in operations team within Hong Kong. So we're excited to see John in that new role and we'll just keep this reporting directly connected and simple as we have been. Finally, from a business perspective, Charlene Begley and the Home & Business Solutions team had a good quarter. In the fourth quarter, revenues of $2.3 billion were up 5% and segment profit of $139 million was up 6%. Appliance market in the quarter was up 6%. Retail was up 9% and contract channel continues to be tough down 12%. We saw a strong retail volume driven by Black Friday promotions. Lighting continues to realize savings from the restructuring and rationalization. Intelligent platforms had a good quarter, and the profit was up driven by the volume of productivity partially offset by lower pricing in appliances. With housing, where it is, the market can remain challenging outside of big sales events. We continue to see the shift in the business to more energy-efficient products and we're spending a lot more on new products. We're investing across the entire product line. And for the year, we received over $200 million of ENERGY STAR tax credits, which more than offset the higher product costs that reduced the segment profit to make the appliances qualified for ENERGY STAR. And those credits will continue in 2011. So for the year, Home & Business Solutions segment profit was up about 24%. And finally, before I turn it back to Jeff, I just want to update on page from the December analyst meeting on pension and operating earnings. On the left side, we just updated this for our 2010 results, the pension team delivered 13.5%, which is good earnings performance in the pension fund. As we said in December, we lowered our long-term pension return from a 8.5% down to 8%. The discount rate ended 2010 at 5.28%, a 50 basis point reduction. And new salaried employees are going to join on a new defined contribution plan . We closed to pension plan for salaried employees going forward. And going forward, for GE financial reporting, we're going to report operating EPS, which means that we're going to include the service cost for pension and operating results and it excludes the non-operating retirement related cost like the amortization of prior gains and losses. We'll not make a pension cash contribution in 2011. And on the right side is the financial impact. The blue bar shows the total pension expense and the green bars are the operating cost for pension, the annual service cost for employees that'll be in operating results. So for 2011, on an operating basis, the pension expense will be about flat at $1.4 billion. And versus our original plan, that will be a $0.06 improvement to the 2011 outlook. So as you update your models, JoAnna and Trevor will work with you to answer or clarify any questions on this. And we think this change provides better clarity to operating results and our measurement framework will be on the operating basis going forward. So with that, let me turn it back to Jeff.
Jeffrey Immelt: Great. Thanks, Keith. I just want to close with a couple of charts I went through with the December meeting. First on the operating framework. I think 2011 will look a lot like the fourth quarter, positive growth in industrial, GE Capital earnings snapback, we have the NBCU dilution and less restructuring and pension, as Keith said will be flat. So we have a good outlook for 2011. Total operating earnings should be up nicely in 2011 as we look forward. So I think -- what you saw on the fourth quarter is a pretty good precursor to what you're going to see in 2011. CFOA, we talked about between $12 billion and $13 billion. We'll continue to work on working capital improvements. And then from a revenue standpoint, industrial about 5% organic. Acquisitions will be on top of that. GE Capital will be down about 5%, with continued management of any net investment and NBCU will be accounted for as an equity investment in corporate. So again, this outlook, I think, it was fortified as we close fourth quarter, but no world change versus where we were in December. Kind of the way we think about operating EPS going forward in '11 and '12, we've got a set of headwinds in 2011 as we shipped fewer energy equipment units, the NBCU's dilution and the high R&D spending. A lot more tailwinds as we go into 2011. Transportation, Healthcare, strong GE Capital, M&A, and those will be the drivers the strong earnings improvement in 2011. And then as we shift gears and look forward in 2012, we'll have, I think, fewer headwinds. We see the backlog for heavy-duty gas turbines and wind continuing to improve, but that will play out over time. And we'll be spending at the higher run rate in R&D, but we should have earnings growth in both Aviation and Energy Infrastructure in '12. GE Capital continuing to move forward. Aviation and Transportation, retired the preferred stock. So we'll have more tailwinds as you look at 2012 versus 2011. And again, this just confirms what we talked about in the December meeting. And the last page just a point of view on kind of how we think about ourselves from an operating goal standpoint. We want to continue to grow operating earnings in excess of the S&P 500. Have organic growth in services and growth markets between 5% and 10%. Keep GE Capital between 30% and 40% of total operating earnings. Grow cash more than net income. And as we restore our GE Capital dividend, that's still something that we're focused on to be prepared for in 2012. Continue to increase our ROTC and maintain an industrial ROTC growth of 15%. And just continue to drive an attractive dividend payout ratio. These are the things that we have as key internal operating goals that we want our investors to believe in. And then just to conclude from an outlook standpoint, the best more forecast-focused portfolio in memory committed to balance and disciplined capital allocation. I think, really, well positioned for long-term organic growth. You saw some of that in the fourth quarter. I think a very valuable GE Capital business in our performance is accelerating. And I think our financial results showed that. So Trevor with that, let me turn it over to you, and let's take some questions.
Trevor Schauenberg: Thanks, Jeff. Thanks, Keith. Michael, why we don't we open the lines and go in to the questions now.
Operator: [Operator Instructions] And our first question comes from Scott Davis of Morgan Stanley.
Scott Davis - Morgan Stanley: Obviously, some high-quality issues here as far as your cash balance. I mean it looks like you're going to have that $22 billion of cash on next Friday. What's the new normal, if you will? I mean, you used to keep about a $10 billion cash balance, if memory serves me right. But clearly, you have a fair amount of debt coming due in the next couple of years. But what do kind of think as the new normal?
Keith Sherin: Scott, I think the $10 billion, historically, would've included a balance of capital. So this balance we're talking about is just at the parent, as you know. So I think when you look with the forecast going forward, we're probably going to keep somewhere between $8 billion and $10 billion of cash for the near term anyway. I think over the longer term as you reduce some of the longer tail risks, you may be even able to reduce that below that. But probably somewhere around there would be a place where we would have the flexibility that if we ever needed for whatever unforeseen risk that we could think of to have some more cash to be a little safer and more secured or maybe be opportunistic. Those are the kind of amounts that we would think of today and from an enterprise-risk perspective at the parent for the near term.
Scott Davis - Morgan Stanley: And maybe this is for you, Jeff. I mean, it sounds to me like your commentary month after the December 14 meeting is substantially more positive. And I think results across-the-board in an operating basis, at least according to our models, came in pretty solid. What's changed, if you will? I mean, are you seeing impact from maybe accelerated depreciation? Are your customers finally seeing some blue skies out there and opening up the checkbooks? What's kind of changed towards the end of December in the last month?
Jeffrey Immelt: Scott, I was pretty positive in December. I would say, look, I take comfort in two things. One is very strong orders momentum. In the types of businesses we're in, that always is what starts the momentum. So I think that's a real positive. And then, I would say just the across-the-board improvement in GE Capital. I think Keith went through the operating results, but there's just more liquidity out there. That's going to help Commercial Real Estate. Losses are lower. Origination is strengthening. So there's just lots of clues along the way. Now on the other side, you know what I want our investors to know is that we are running the place within intensity. I still want to make sure that we are focused on things like value cap, working capital returns. Because, I think, we want to make sure we run the place with great intensity at the same time. But we do see things that continue to be encouraging as we look at the broad economy.
Scott Davis - Morgan Stanley: But is there a change in geographic mix? Is it still mostly emerging markets or is it expanded beyond real EM?
Jeffrey Immelt: A lot of the long-stock orders are still outside the U.S. or still kind of emerging markets and stuff like that. But I think the number Keith showed that gives me -- the amount of volume in GE Capital in the quarter, I think was above what we had expected. And that's a good sign, I think for the activity that's going on in the U.S.
Operator: The next question comes from the line of Steve Tusa with JPMorgan.
C. Stephen Tusa - JP Morgan Chase & Co: Just on the gas turbines. Did I hear the order number for gas turbines in the fourth quarter of 28, did you say for the fourth quarter?
Jeffrey Immelt: Yes.
C. Stephen Tusa - JP Morgan Chase & Co: So would that bring the year to? Around 95, 96?
Jeffrey Immelt: I don't know what the total number was. I can tell you for '11. What we're basically thinking, we delivered 114 in '10, Steve. And for '11 we're planning somewhere around 103.
C. Stephen Tusa - JP Morgan Chase & Co: I guess, if we just add up the numbers we get to about 95, 96. So you guys should be, obviously, very well sold out?
Jeffrey Immelt: We got a pretty good feel for the backlog relative to the estimated conversion. They have commitments and aren't order that we think will fill out the rest of the units for '11.
C. Stephen Tusa - JP Morgan Chase & Co: So how much you sold out for 2012? And obviously, if this year is kind of like ground zero for turbine orders or maybe it's not and maybe just clarify that for next year. How far are you -- How much are you sold out for 2012 at this stage of the game?
Jeffrey Immelt: I think, Steve, we still have excess capacity in 2012. What we do, I think, and you've been through this before, we have a pretty good like commitments to order pipeline. And so, our commitment pipeline is building. Those convert to orders over time. So we have a pretty good line of sight for where the industry is going to go.
C. Stephen Tusa - JP Morgan Chase & Co: Do you think book to bill in '11 is going to be above one?
Keith Sherin: Our estimate is that the energy equipment orders will turn positive in '11, Steve.
C. Stephen Tusa - JP Morgan Chase & Co: And then just one more on GE Capital. The portfolio margin I guess you said it was around 5% this year. That's actually come down a little bit from what you were saying in the beginning of the year. Are you already starting to see a little bit of that margin compression or should we continue to see high return business being written? How fast is this kind of competition coming back there at GE Capital?
Keith Sherin: The margins in the capital business were pretty good in the quarter. In the third quarter we had about 5.04% and in the fourth quarter we're up 5.3%. So for the year, we ended, Jeff Bornstein said at the December analyst meeting, he thought it'd be around 5%. We ended at 5.1% on margins for GE Capital for the total year. So you see the volumes have pretty good returns across the portfolio. Consumer obviously, it continues to drive its returns up. Real Estate, by having less losses has helped us improve returns and will continue to do that, obviously, if they turnaround going forward. So I think we're still seeing good volume at good returns. We're very disciplined on the pricing of GE Capital.
C. Stephen Tusa - JP Morgan Chase & Co: And you think the Real Estate turn is sustainable?
Keith Sherin: We think that losses in impairment peaked in '10. And now we got to see what kind of pace of recovery we will have. We obviously have some good indicators early on delinquencies and the fact that credit losses on the debt books improved. We still had impairments, obviously, in the equity books. So we got to see what the pace of that is in terms of occupancy, rental growth and overall GDP. But I think it seems to us like the losses have certainly peaked in '10 and we expect a strong improvement in Real Estate in '11 and '12.
Operator: The next question comes from Julian Mitchell with Credit Suisse.
Julian Mitchell: The first question just on the pricing in your Energy business. You mentioned overall orders price was down about 3%. So could you talk a little bit about what you're seeing differently in wind as well as in gas? And I guess if you're seeing any kind of stabilization in wind pricing?
Keith Sherin: I said the total in Energy was down 3%. If you look at the pieces of equipment, which were down 6%. Thermal was down 11%. Renewables were down 14%. So those are the two biggest. And I think, we're still seeing, globally, a lot of competition. We've got strong competitors and we got to compete with our products to win in the marketplace. And that's what we've kind of factored into our 2011 planning in terms of the value gap as Jeff said. It's a tough competitive market out there, but I like the unit orders that we have in the fourth quarter and they're in line with our expectations were for the '11 planning.
Julian Mitchell: In terms of the overall Industrial business. Could you talk a little bit about the headwinds from R&D and also what you're expecting on the value gap? So if you think about the net of R&D and the value gap shift in '11, how big of an effect do you think that will be on your earnings?
Keith Sherin: Julian, what I would say is that the R&D is pretty much built into the run rate. It'll be up a little bit year-over-year '11 to '10. And then I would say that we're counting on a value gap that's probably slightly negative than '11. And I'll probably hold the internal teams to try to keep that flat. And that'll be positive in Aviation and Healthcare and businesses like that. And with a little bit more headwind in Energy.
Operator: The next question comes from Terry Darling with Goldman Sachs.
Terry Darling - Goldman Sachs Group Inc.: A follow-up on GE Capital first. The loss rates continue to track better than what we've been looking for. A year ago I think you guys who were a little more specific about what you're expecting for a range in 2010. And as we've come out of the woods here, I'm wondering if we might put a finer point on that specific number outlook for 2011?
Keith Sherin: We haven't really given that out in terms of a forecast for loss rates. I think you have to say though if you look at 2010, we're probably $1.5 billion below what we had expected in terms of loss rates mostly driven by the credit side, the improvements in consumer, the improvements in CLL. We had higher impairments than we thought in 2010. But hopefully, those are going to abate a little. I think clearly the performance we're expecting in GE Capital when we look at 2011 is going to be driven by improved credit conditions as you see, these delinquencies and non-earnings rollover. So I would expect that write-offs will exceed our provisioning by several hundred million dollars during the year. And over time, the provisions have to come down. We're at 2.5% coverage today. I don't know where they're going to get to over a normal cycle. But clearly, we're still at too high versus normal on both the consumer side and the commercial side. So we are expecting GE Capital, and GE Capital team is even forecasting, a much improved performance driven a lot by the credit side. But also the margin side, the new business volumes that we're putting on versus the business that's rolling off continues to be attractive. And as we shrink places with red assets like mortgage or as real estate goes from a loss to a positive, that's going to be part of this growth driver in 2011 as well. So we don't have a specific forecast that we've given for losses. But clearly, they're going to be better, Terry.
Terry Darling - Goldman Sachs Group Inc.: And then focus of restructuring in 2011. Which businesses will see the majority of that restructuring?
Keith Sherin: Right now, what we have is we're probably going to have somewhere around $0.01 a quarter as our normal run rate. You can see that in the core industrial. I think you see that we continue to do a plant rationalization in H&BS both in Lighting and Appliances. We've done a lot of service rationalization in the Energy business. We'll continue that. We'll continue some service rationalization in the Aviation business. And we've had a lot of, in the past, total headcount in downsizing in GE Capital that will continue in some of the red asset businesses. But we're investing a lot in growth on the other side, on the green asset businesses in GE Capital side. I think right now it's pretty much going to be in the Legacy Industrial businesses where we continue to rationalize our footprint. The Legacy Service business where we can be more efficient would be part of the main places.
Jeffrey Immelt: We see the volumes coming back and our footprint is pretty lean right now. So I think we've done a lot of good work on restructuring over the last two or three years. So it gives us more flexibility, I think, when we look out for 2011.
Keith Sherin: Plus we're looking at other things. Obviously, when we get NBC close, we do expect a small after tax gain. We're looking for opportunities there, and that could continue to have more restructuring as well.
Terry Darling - Goldman Sachs Group Inc.: I wonder if you can talk a little bit about the strategy behind the recent acquisition, the power quality acquisition. Obviously, it wasn't a large one and the valuation appeared reasonable. But when you look at the -- and the secular growth trends look great there as well. But also if you look at the competitive landscape, pretty, pretty big players that are global talking about customers increased when you go in global. It doesn't look like a business you want to just stay small and if you get in doing it all, which you've just done, maybe talk about that strategy a little bit more.
Jeffrey Immelt: Inside our Energy business, we've got a very big industrial footprint, both in terms of smart grid and kind of the core GE Industrial business. We play around data centers for a long time and around the fringes. This puts us more in a central position there. It's actually quite good technology. And so I think inorganically, now that we've got this base inorganically, we know all the customers. And I think this just gives us a great platform for good inorganic growth. And getting in at somewhere between 7.5x and 8x EBITDA is a pretty good place. This was one of the world-class platforms five or 10 years ago. And it's got great -- it's primarily North America today. We've got a lot of opportunities to globalize it. So I would count on us using this like we did with wind as kind of -- it gets some seed planted and now we can scale it organically using our technology and distribution.
Terry Darling - Goldman Sachs Group Inc.: Just to clarify, so your focused it in, will from here, be more organic than inorganic?
Jeffrey Immelt: Exactly, yes.
Operator: The next question comes from Jeff Sprague of Vertical Research Partners.
Jeffrey Sprague - Citigroup: Just back on thermal or maybe power overall and getting into price. Where are you at now on price On revenues? is that now inflected negative?
Keith Sherin: No, we had positive price in Energy in the fourth quarter.
Jeffrey Sprague - Citigroup: How positive? Can you give us some color on thermal and renewables?
Keith Sherin: I have the total as $90 million of positive price in Energy. I don't have the split between thermal and renewables.
Jeffrey Immelt: Jeff, I think when Keith said like the order price you sell, 3% or something like that.
Keith Sherin: In total, including service.
Jeffrey Immelt: Yes. I mean, I think the pricing is going to be slightly negative when you look at 2011. And that's kind of how we build the plan for next year. So I think it's kind of into the expectations of the core run rate.
Keith Sherin: We still have a good margin, strong price in the backlog. Especially in the wind backlog that we're still delivering on. So that's going to continue to mitigate some of this here, Jeff, for a period.
Jeffrey Sprague - Citigroup: But with what you're doing on value gap, you think even as these down price orders convert 12, 18 months from now, there's upward room in the margins in power?
Jeffrey Immelt: In Energy -- look, I would say that from an equipment standpoint, the margins will probably be under a little bit of pressure. From a service standpoint, I think there's upward momentum on service margins.
Keith Sherin: We said overall for '11, we expect margins to be flat to down. I think you know we expect the value gap to be pressure on margins.
Jeffrey Sprague - Citigroup: And I just want to understand to the extent that you can help us a little more, Keith, on tax. Just kind of a twofold question. I understand the dynamic of NBC, but what is really the base we should be working off for Industrial as we think about what the tax rate is for '11?
Keith Sherin: I would say -- let's take a look at the last two years. So if you do 2009, our Industrial, our GE x check rate was 22%. If you do 2010 and you exclude the impact of the settlements, which we do not anticipate repeating and you exclude the impact of the incremental restructuring we did, high cash restructuring, which most of that was obviously the Hudson reserve, which we again don't anticipate repeating, you're probably around the 23% rate for 2010, Jeff. And I don't see anything going forward in 2011 that would change that, x the NBC thing, which is going to raise the tax rate somewhere between 15 to 20 points for the year. So I would model on a core somewhere in the low- to mid-20s for industrial tax rates.
Jeffrey Sprague - Citigroup: And jus take that to the Capital side also. The $1.7 billion structural benefit you talk about, should we think of that as solely a benefit through deductions or is there an element of credit there? Is it just deduction-based benefits or is there direct credits that come in?
Keith Sherin: No, it's basically the fact that our global organization allows us to have very low tax overseas earnings. So when I say a credit, I think you're going to be basically dealing with income that results in less than a 35% rate that gives you the equivalent of around somewhere between $1.5 billion to $2 billion of credit. And then the tax rate will depend upon how much pretax income we have. So take the pretax and grow it next year for the fact that you're going to have lower losses, lower credit losses, lower impairments and better margins. You offset a little bit for the volume, we're going to continue to shrink the book and you put the 35% rate on that. And then the $1.5 billion to $2 billion, somewhere around $1.7 billion, is a good estimate for just planning. Gives you an estimate of what the GE Capital tax rate would be. I mean, the tax rate has a lot of volatility. I think the fact that we're saying for guidance to keep the benefits somewhere around $1.7 billion is the best guidepost for you. And it's split pretty evenly around the core. If look in the fourth quarter we have about $450 million of credit tax benefits from the global financing structures.
Jeffrey Sprague - Citigroup: What you're planning on NBC in terms of reporting? I mean will we see that as a separate line or is it going to just be kind of glummed into corporate?
Keith Sherin: Well it's going to be in corporate, it will be a one line reporting. But it's going to be -- we've moved it into corporate for next year and it'll be a minority interest net income. And we'll tell you where it is every quarter. But right now, we basically said we expect about $0.05 of dilution versus this year. And if you look at the total year results that we have, which we published today on pretax and you work that in to about $0.05 dilution, you can get estimate for what 2011 will be.
Jeffrey Immelt: It's just because our plan is to show it, but show it as an item.
Keith Sherin: It'll be in corporate and we'll tell what the item is.
Jeffrey Immelt: So you'll know what it is, Jeff.
Operator: The next question comes from Bob Cornell with Barclays Capital.
Robert Cornell - Barclays Capital: You covered a lot of ground. Keith, could you just go back over the reserve reduction and talk about the reserves of -- the write-off, really, reserve accounts. So the whole production reserve and the implications for your view of credit quality going forward?
Keith Sherin: Basically as we continue to see delinquencies and non-earnings improve, Bob, basically we're not going to be required to continue put up as much new prevision as the book improves. So in 2009, we had about $10.6 billion of credit costs related to the debt portfolio. In 2010, we had $7.2 billion of credit costs, losses. So I don't know what the exact pace of acceleration of continued improvement is. We've seen an awful lot of improvement in the consumer book. I think there's more improvement to come in the commercial book and certainly more improvement to come in the real estate book. But we expect to continue to see that provision go down and we expect to have write-offs greater than the new provision, which will result in lower reserves going forward. And we expect to have very good solid earnings growth in GE Capital obviously in '11.
Robert Cornell - Barclays Capital: In terms of reserve coverage, I mean, obviously you guys used to use the 2.63 metric for years and years and now you're at 2.47. I mean, you alluded to that going down. Where is a normal run rate for GE? Where should we expect that to go in the next couple of years?
Keith Sherin: As I said, I don't have a specific number on it. I think that 2.63 was a long time ago and was a number that doesn't reflect the current mix of our business at all today.
Robert Cornell - Barclays Capital: I understand that, but in terms of a range of where the 2.47 could go?
Keith Sherin: It's going to be lower, Bob. We can model out the commercial losses. They're less than 1% today. I think that's going to continue to improve. I think on the consumer side, it's going to depend upon what unemployment does as to how low it goes and how quickly it goes. And I think you got a sticky unemployment situations, so we got to watch that. We got not a great housing situation, but we have definite improvements in our book based on the underwriting changes we've made. And the performance of the retail portfolio we have. So I think it's going to be lower. I think you got to have to take your own stab at how far to go with it.
Robert Cornell - Barclays Capital: You mentioned earlier, you said that real estate is going from a loss to a profit. I think that was...
Keith Sherin: It's going from a big loss to a lower loss.
Robert Cornell - Barclays Capital: In the Aviation business, you talked about the quarter impacted by R&D and sort of product development costs. Are some of the headwinds that we were previously anticipating for '11, did that come into the fourth quarter?
Jeffrey Immelt: Yes. I mean, I would say, Bob, we talked about the GEnx and I think some of the things Keith talked about were onetime impacts in the fourth quarter. And kind of what we said at the December meeting with which was Aviation segment profit should be about flat in '11 versus '10. I think that's still a good outlook for the business.
Operator: The next question comes from Deane Dray with Citi Investment Research.
Deane Dray - Citigroup Inc: We covered a lot of ground about the quarter and the outlook, but I'd be very interested, Jeff, hearing about your new role in Washington. You've been pretty outspoken and my guess is you're coming in with a couple of agenda items maybe tax and energy policy. But just give us a sense of what the role is, what expectations are and how we see that playing out?
Jeffrey Immelt: The first thing I'd say, Deane, is all you guys know my commitment to GE and my leadership at GE, and that doesn't change. This is my passion. I'm committed. I'm a hard worker. So I am focused on the company. But at the same time, I'm honored to be able to work on something I think has importance in a broader economic context. And I think Deane, the folks is going to be exactly what it said, competitiveness in jobs and a focus on exports, global tax policy, regulatory, manufacturing jobs, energy, things like that. And so I just think it's a broader context, and I'm honored to serve.
Deane Dray - Citigroup Inc: Just given the reach of GE's businesses across the economy, it's hard to fathom that there's going to be any topic that comes up that doesn't have a direct impact on GE. How do you expect to manage those conflicts?
Jeffrey Immelt: With great transparency. I'd say on one hand, I know a lot because I see a lot, and that's the strength of GE. But at the same time, I think both as a company and individually, I've always understood context and where we fit. And I think I'll manage that with great transparency.
Deane Dray - Citigroup Inc: For Keith, it didn't sound like Shinsei came up at all and so how did that play out for the quarter in terms of expectations?
Keith Sherin: When you take a look at Shinsei, we made no adjustments in the quarter. As you know, we ended the third quarter with about $1.7 billion of reserves. At the end of the fourth quarter the reserve balance is down $1.5 billion. So we settled a number of claims through the quarter, about $200 million in the last three months. And we continue to see as new claims come in, they were higher in September, October, November. They started to turn back over and go down again. But the bankruptcy, clearly, the Takefuji bankruptcy has clearly created a bubble of claims here. We believe that the court is not going to complete its work with Takefuji claimants until some time in the first quarter. And we're going to just have to watch those claims as they go down. So we've got a senior leader dedicated to this task with a big team in Japan. We're continuing to work with Shinsei on all the process around claim management, litigation management. And at the end of the day, we think we're still adequately reserve for the liability that we have in Japan.
Operator: The next question comes from Jason Feldman with UBS.
Jason Feldman - UBS Investment Bank: So could you give us a little bit more color maybe on what you're seeing in the aerospace aftermarket? On prior quarters you've mentioned deferrals of overhauls. And it was a little bit -- was tough to interpret the decline in service orders this quarter given the comps that you mentioned, the big order a year ago?
Keith Sherin: Yes. I think a couple of dynamics going on there. It's a good question. We did see good spare parts orders, x the Aviall. So we had a onetime big order with Aviall last year. But x that, we're seeing a lot of good incoming orders. Again, you know we have a price increase that we put in at the end of the year that's effective for this year, so some of that is orders before that takes effect. That was about 5% for 2011. But with the average daily order rate coming in at 25% off that $25 million a day and up significantly, that's held pretty good. If you look at overhauls, we saw overhauls, they were up about 8% in the quarter. They had a little lower job scope, so there wasn't a big revenue increase there. And then, in terms of total service margins, we had some pressure in utilization from some of our customers that affected, that offset some of those order rates in the spare parts. We had some people flying the planes a lot less than what we had originally anticipated. And so some of that offset some of the spares orders. But in terms of the outlook, we feel pretty good about the order rate.
Jeffrey Immelt: In the spares orders in the first couple of weeks of January are also very strong. So I think the year is starting off in a good way.
Jason Feldman - UBS Investment Bank: So it sounds like the activity is kind of catching up a little bit to the underlying flight hour growth?
Keith Sherin: A little of that in the third quarter, you saw a little more in the fourth quarter. We're feeling pretty good about that outlook, yes.
Jason Feldman - UBS Investment Bank: GECAS, on a sequential basis was actually one of the strongest areas of growth within capital finance. Is that just because the timing of the annual impairment review or is there something else going on there?
Keith Sherin: As you know, we do the impairments in the third quarter. That was one of the biggest events. The other thing they also had some tax benefits in the fourth quarter that don't repeat, they were offset in capital corporate with some tax charges. But at the end of the day, it was part of the increase in GECAS results. It would've been closer to flat with last year without some of the lower taxes, I would say.
Jason Feldman - UBS Investment Bank: A couple of quarters ago, you mentioned a couple of supply constraints in various areas, I think, particularly in Healthcare. Have there been any issues anywhere across the business?
Jeffrey Immelt: That's actually improved. And I think that's good for Healthcare, because we've got a nice big backlog going into this year, and the supply chains will work its way out.
Operator: The next question comes from Nigel Coe with Deutsche Bank.
Nigel Coe - Deutsche Bank AG: I hate to return to the Energy pricing, but if you look at on a Q-to-Q basis, is the prices stabilized or we'll still see some pressure from 3Q to 4Q?
Keith Sherin: I think pricing on both thermal and wind was a little worse in fourth quarter than third quarter. I don't remember exactly what the numbers are. We can go back to the script, we said in the third quarter, and we can get it to you through Trevor and JoAnna. But it's a little worse on equipment side.
Nigel Coe - Deutsche Bank AG: And then looking at 2012, you still have gas and also wind as it drags the 2012 earnings growth. I'm just trying to reconcile that with some of the further commentary we're hearing from your peers like Alstom, et cetera. Do you think there's upside to that outlook? I it's 2012 but you are thinking it's coming through? And do you think that maybe there's room for that in process in 2012?
Jeffrey Immelt: Look, I think you've got volume getting better. So volume, I think, we've seen interest commitments in volume getting better. Volume is going to continue to get better during 2011. So it's a long cycle business. And I think it's all about productivity and things like that in terms of how would we execute on those sides. But you're going to see volume improvements as you go from 2011 to 2012. Now what I would say, Nigel, and again just as a backdrop, when you think about our Energy business, it's a very big business. So I would divide it into kind of four parts. You've got heavy-duty gas turbines and wind. Then you've got all of the distributed energy products, aero derivatives, Jenbacher and things like that. You've got service and then you've got oil & gas. So you got a lot of the components of energy that are going to be positive in 2011 and positive in 2012. And that's why we like the business. It's a diversified portfolio. So could there be upside, I hope so. But I think it's kind of the ebb and flow of the market. And look, we have half the heavy-duty gas turbine market. And our share is very strong and will remain strong. And our wind market share, we have just put out the results yesterday, our wind market share in U.S. is up 10 points. So we're going to have as good an outlook as any of our competitors as we go through the next couple of years.
Nigel Coe - Deutsche Bank AG: And a quick one for Keith on the reserves. We've seen the diverse between non-earnings and delinquencies in CLL. And I'm assuming that we're going step a CD in non-earnings instead of bend down towards the delinquencies curve. Would that be a trigger for further reserve releases or do the reserve affect more the delinquencies rather than non-earnings right now?
Keith Sherin: It's more on the delinquencies, generally. But I think the other factor that may come in is if we continue to have recoveries that exceed what our position was. I mean, we had $100 million of recovery some things that we fully reserved in the Real Estate business. And that comes in to the P&L just like a reserve release. So the fact that we reserved it 100% someone paid us off. We may continue to see more about in the Real Estate business and maybe some of that in CLL.
Operator: The next question comes from Christopher Glynn with Oppenheimer.
Christopher Glynn - Oppenheimer & Co. Inc.: Just wondering about the total CRE impairments in 2010. It seems like it might have come in a little bit above the forecast, the 2.2-ish that we've talked about and if maybe it got aggressive to end the year there. And how about in 2011?
Keith Sherin: Well, we booked to what we thought we had to, obviously. I think the 2010, you're right, it came in at $2.3 billion on the impairments line in Real Estate. And we have seen some improvements. If you look, the declines in rental have abated, increases in occupancy have improved in many markets. I think these were a little bit unusual because a lot of them were concentrated in Japan and some in Europe. But in many parts of the equity book, we've seen the pressure from impairments abate. And we have some early positive signs. How good will it get and how fast will it get, I hope you're right. But 2010 was a little higher, it was higher than we thought. It's probably about $1 billion of impairments higher than we originally anticipated.
Christopher Glynn - Oppenheimer & Co. Inc.: And then just following up on Nigel's track on gas turbines and heavy duty. Maybe some signs of significant cycle and extraction in natural gas and I think your power bubble supply is now absorbed. Could we see a pretty strong U.S. cycle start to emerge do you think, which we really haven't had for a decade or so?
Jeffrey Immelt: I just looked at this a little while ago. But I think if you look at the U.S. in the last decade, let's say between 2000 and 2010. We sold somewhere between 40 and 50 heavy-duty gas turbines in the whole decade. So we still think the U.S. is going to be a gas and wind market with the price of natural gas where it is. When we talk to our utility customers, it's the prevalent commentary in terms of what they're interested in. So I think that's out there somewhere. We're not counting on it for 2011, we don't. But that has a very high likelihood of happening at some point based on reserved margins.
Kevin Sherin: And the reality of the environmental constraints around coal. The challenges around nuclear, the timing, the approvals, the costs. I think that ultimately when we have the demand generation here, we're going to be sitting in a pretty good spot.
Jeffrey Immelt: I'll give you a factoid. Keith talked about it earlier, but kind of before people buy heavy-duty gas turbines they buy aero because they're quick to cite and they fit around the edges. I think our aero orders were 2x in Q4, something like that. So that's not a bad sign.
Operator: The next question comes from Steven Winoker with Sanford Bernstein.
Steven Winoker - Bernstein Research: First question, just a follow-up on Chris' question around gas in the U.S. If you were to believe that utilities have to meet this 2015 deadline for coal-to-gas conversion, would you likely to start seeing those orders assuming you win them in share in sort of the 2012 time frame or do you think it would be later?
Jeffrey Immelt: I think it's 2012, Steve.
Steven Winoker - Bernstein Research: And just so I have clarification without harping on the pricing thing there. But if you look at the breakout geographically a little bit and I sort of look at the Virginia loss to Mitsubishi. Is pricing, are you seeing it worse in the U.S. that you are elsewhere?
Jeffrey Immelt: Not necessarily. No, I think it's not necessarily.
Steven Winoker - Bernstein Research: Just on the dividend discussion. You're planning for 2012 for GE Capital again to GE, and I keep thinking my numbers it should be earlier. And I'm just trying to understand, is it still the Fed that you're waiting on there or you're just something different?
Keith Sherin: We're obviously making great progress in GE Capital. If you look at -- you see the Tier 1 ratios for GE Capital Corp., GE Capital Services, the fact that we're shrinking the book faster. The fact that we've continued to pay down our debt and pre-pay or pre-issue debt so that we're ready to pay down future maturities. Everything in the place feels better to us. I think the change that we've got to get to is we are committed to being well capitalized under whatever regulatory regime and whatever the measurements are that people are going to have and be accountable to. We have an idea of that, but we don't have a formal agreement on that with the Fed. The Fed is going to become a regulator sometime in the first half of this year as part of the Dodd-Frank. We're going to transition from the OTFs. We've got engaged in those discussions, Steve. I think we're well prepared for it. I think we've been planning on it for 18 months now. I think Mike and the team have staffed up. We've changed processes. We got better policies, rigor reporting. Everything in place. But we got to go through that process. I feel great about the priors in GE Capital and with the discussions that you read about that are going on with the banks, about dividends relative to different capital ratios, we're going to have to see. Our plan doesn't assume anything in '11. Our plan assumes that in '12 we'll get a dividend as part of their earnings. And going forward past '12, our plan assumes that we're going to get some excess capital out of Capital as we shrink we book and have additional capital in excess of even being well capitalized under any metric that we can see today.
Steven Winoker - Bernstein Research: And Keith, there's nothing in WMC this quarter, correct?
Keith Sherin: WMC in the quarter, we didn't change anything in our reserves. We had about $250 million of backlogger claims at the end of third quarter with $100 million of reserves. At the end of the year, we end the year with about $350 million of claims. We left the reserves at $100 million because we had very favorable experience against claim settlement rates versus what we had anticipated. So we feel like we've got a very solid reserve against the claims that are there, and we feel very good about the business position on the ability for people to make claims based on the strength of the work the team did in WMC. So we ended the year at $350 million at claims, $100 million in reserves, and we feel very good about it.
Steven Winoker - Bernstein Research: And finally, Jeff, in light of your comments in continuing to be very, very -- substantially more positive as I think Scott led off with also over time. In light of that, when you think about your M&A strategy and the comments you made in December and the sort of $5.5 billion or so that we've heard in certain larger acquisitions. That kind of $3 billion in under number still stands as far as your concern? Or are you starting to think in light of things moving much more positively that you'd consider more?
Jeffrey Immelt: I think, Steve, what I've said in December and what I really believe is that we should be investing in our core franchise in a way that our investors get the benefits of our ability to assemble acquisitions. And so if you think of what we've done in energy. If you think about what we've done in Oil & Gas. We create value for you by staying disciplined in that range and giving our investors the benefits of the accumulation value. And so, I like what we've done. I think they've been well indicative of the kinds of deal -- if you look at the four deals we've done, I think their very indicative of the kinds of deals we're going to do. And we want to be balanced and disciplined. I think we'd like to dividend. We think buybacks are going to be important, and I think this notion of balance and discipline is important for GE.
Operator: The next question comes from Shannon O'Callaghan with Nomura.
Shannon O'Callaghan - Lehman Brothers: First on Real Estate. I mean, how do we think about -- can you first talk about what the, other than the Japan issue, what the underlying valuation declines are? What the liquidity is like in the market? And how do we think about how the unrealized loss could move forward from here? I mean, can it go away and then accelerate a way through asset sales or improving valuation assumptions? Or how could that evolve?
Keith Sherin: Well, we're going to continue to have depreciation of around $1 billion a year. We'll have to see what happens with valuations in the portfolio, in Real Estate and the total portfolio in the fourth quarter. We went from 5% to 6% type of valuation declines. Third quarter year-to-date down to zero, one in the fourth quarter. So that was an improvement. And for our properties where we have a specific reserve, we were in the teens. And the third quarter year-to-date, we went down 3% to 4% on specific properties. So we do continue to see improvements. We had improvements in occupancy in our own properties. We went up to a little over 80%, I think the number was. And we've seen, obviously, an abatement of declines associated with rental growth in many of the regions. So if you got a valuation turn here, you're going to have an ability to eat into that unrealized loss much quicker. But right now, we would plan and eating into it in an orderly way. We think we'd get down somewhere around zero at the end of '13, something like that.
Shannon O'Callaghan - Lehman Brothers: And as you, let's say the market continues to improve in that fashion, I mean, the next time you do sort of update, is there an adjustment for current market conditions that could significantly change that faster than 2013?
Keith Sherin: Well, sure. it's not on the books, obviously. It's an unrealized loss in the equity portfolio. That could get better and we'll obviously communicate the changes in that as we go forward. We're doing that kind of twice a year now.
Shannon O'Callaghan - Lehman Brothers: And then just on the consumer piece, I mean, the write-offs still were up sequentially. It seems like that should be turning pretty soon. I mean, can you just talk a little bit about the different maybe pieces of dynamics of why write-offs are still going up there?
Keith Sherin: If I look at consumer in the quarter on write-offs, yes, we'll continue to clean out delinquent accounts. We have a formula. I mean, basically 180 days on an open end, we write that thing off on a close end. It's written off by, I think, it's 360. It's completely written off. It's all formulaic based on delinquency.
Shannon O'Callaghan - Lehman Brothers: And what I meant is sort of looking at the U.S. business versus other pieces. I mean, even on that formula, you should see some of that stuff having gone down already. I don't know if there's one piece that still keeping it up?
Keith Sherin: No, it's mostly U.S, right. There's the credit card and then there's the retail sale support that we have. And I think they both are performing about the same pace.
Shannon O'Callaghan - Lehman Brothers: Just lastly, just a quick clarification. I mean, the provision, right, was like $1.35 billion or something. You did mention $1.6 billion? Could you just reconcile what the difference is?
Keith Sherin: Provision in the fourth quarter is $1.355 billion. What I said was we had -- the total would have been 200 higher except for those -- the original provision was higher but it was declined by 200 for those two events. I had the recoveries is Real Estate as well as the release of the reserve in the consumer business. That's the difference, exactly.
Operator: Our final question comes from John Inch with Merrill Lynch.
John Inch - BofA Merrill Lynch: Let me start with the corporate items. So the $0.10 of restructuring and other charges, why was the corporate items sequentially up $1.75 billion? Could you maybe, Keith or Jeff, give a little color as to what was in that number?
Keith Sherin: Well, the corporate items year-over-year were $1 billion worse, right? And about $400 million of that is the incremental restructuring versus last year. So we had more restructuring in the fourth quarter of '10 than we had in '09. That was about $400 million pretax. Last year, we had a gain in corporate. And we also had the operations of security, the earnings and security that was held for sale. The total of that was about $300 million of credits. In corporate that didn't repeat. And then, we had a $100 million of higher R&D this year. And the pension plan was a couple of hundred million higher as you know. So those four pieces, I think, would have count for the delta year-over-year in corporate.
John Inch - BofA Merrill Lynch: And the full $0.10 is in corporate, right?
Keith Sherin: There's $0.01 in corporate capital. The other $0.09 after tax is in corporate, corporate, yes.
John Inch - BofA Merrill Lynch: So your thoughts, Keith, I know it's hard to predict, but your thoughts about how to think about the corporate line for 2011?
Keith Sherin: We have in the framework, as Jeff said, we think it's going to be a little bit negative versus 2010. I think, obviously, they'll be less restructuring. But we're going to have the dilution of NBC included in that line. We're going to have some structuring and we'll have whatever restructuring we do offsetting the NBC gain in that line. And overall, when you put those pieces together, we think it will probably still be just slightly negative.
John Inch - BofA Merrill Lynch: The $200 million or...
Keith Sherin: The biggest piece is the dilution of NBC, obviously, John.
John Inch - BofA Merrill Lynch: The $200 million of reserve releases, I kind of had the impression coming out of the Capital meeting that you guys did not expect really reserve releases. Is there something that really changed and does that imply, if you look at the trend, that there could be more reserve releases in 2011? I'm just trying to understand sort of...
Jeffrey Immelt: Yes. I think, I'm trying to walk a world where we think of our reserves provisions and write-offs a little different with other banks but people report the banks as a complete release of reserves. And we're trying to make sure the distinction. Most of our decline in reserves comes from writing off actual receivables. But then we want, just clarity to say, we had $100 million of recoveries against previously reserved items. Is that a reserve release or is that, that we were favorable in our collections activity versus what we ultimately thought the loss was going to be. We're just giving you transparency on it. We didn't plan on having reserve releases, but we did have benefits versus our positions. On the consumer side, we had a subjective reserve as delinquencies got worse. We put up some additional reserves in 2009 and early '10. And obviously, as the delinquencies have improved, we just couldn't justify keeping them there, so that was about $100 million. So we don't have big numbers like that. I think we could have some $200 million out of the whole quarter is probably not a lot, but we could have some more in 2011 as we go forward. If we can get recoveries in excess of previously reserved accounts, that would be great. But I think the main thing that's going to happen is our provisions are going to have to be less going forward as the delinquencies and the non-earnings improve. That's going to be the main driver as we go into '11, John.
John Inch - BofA Merrill Lynch: And then just lastly, I think you even said that year-to-date industrial tax rate around sort of the 23% x settlements. I think we calculated that in the fourth quarter. What do you think is the industrial tax rate is for the first quarter? In the comments, Jeff, you suggested it was going to be higher?
Keith Sherin: it's going to be really high. I think if you look at that NBC page that Jeff showed you, we're going to have a pretax gain of somewhere around $3 billion. And we're going to have a tax charge of somewhere less than that around $3 billion, resulting in a net gain in the quarter. But that $3 billion of taxes is kind of locked in and it's just going to create 15 to 20 points for the year. I do not know what's it's going to do for the first quarter, it's going to be a lot. We're going to have a very high rate in the quarter driven by that.
Jeffrey Immelt: Well again, John, it doesn't impact the framework, the EPS. In other words it changes the rate but not the EPS.
Keith Sherin: Yes.
Trevor Schauenberg: Thank you, everyone for joining our webcast today. The replay of today's webcast will be available this afternoon. We'll also be distributing our quarterly supplemental data schedule for GE Capital later today. So take a look for that. Our first quarter 2011 earnings webcast is scheduled for April 21. And finally, as always, JoAnn and I will be here and available for questions today. Thank you everyone for joining.
Operator: This concludes your conference call. Thank you for your participation today. You may now disconnect.